Operator: Good morning and welcome to the Newmont Mining Fourth Quarter and 2015 Year End Earnings Conference Call. All lines will be on a listen-only mode until we open for question and answers. Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to Meredith Bandy, Vice President, Investor Relations. You may begin.
Meredith H. Bandy - Vice President-Investor Relations: All right, thank you, operator, and good morning, everyone. Welcome to Newmont's fourth quarter and full year 2015 earnings conference call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer; and Laurie Brlas, Chief Financial Officer. They and other members of our executive team will be available to answer questions at the end of the call. Turning to slide two, please take a moment to review the cautionary statement shown here or refer to our SEC filings, which can be found on our website, newmont.com. And now, I'll turn it over to Gary on slide three.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Meredith, and thank you for joining us this morning. I'm pleased to report that we ended 2015 with safer and more efficient operations, a stronger portfolio, and a more resilient balance sheet. This performance is the outcome of our work to instill greater discipline in how we manage our business, to make value our watchword, and to drive accountability deeper into the organization. While economic growth and metal prices were generally subdued in 2015, we made measurable progress on our strategy to become the world's leading gold business by improving our underlying business from safety to productivity to cost, strengthening our portfolio and creating value by funding our highest-margin projects, reducing debt and paying steady dividends. I'll turn to slide four for the highlights. Starting at our operations, last year, we lowered injury rates by 18% to among the lowest in the mining sector. We reduced our gold all-in sustaining costs by 10%, marking six consecutive quarters of keeping them below $1,000 per ounce, and we increased gold production to 5 million ounces and copper production to 166,000 tons on an attributable basis. Moving to our portfolio, we acquired Cripple Creek & Victor, a cash flowing asset in a favorable jurisdiction and progressed the new leach pad and mill. We divested non-core assets, including Waihi and our stake in Valcambi, bringing total asset proceeds to $1.7 billion since 2013. And we completed the Turf Vent Shaft on time and under budget, giving us access to higher grades and a platform to expand the Leeville mine. We advanced Merian, where we lowered capital from our most recent guidance by another $50 million and remain on track to begin commercial production later this year. We reached the decision to fund the first phase of Long Canyon in Nevada, and an expansion at Tanami in Australia, and we've added 5 million ounces of gold reserves by the drill bit. Turning to our balance sheet, we increased our adjusted EBITDA by 29% to $2.7 billion despite a 9% decrease in realized gold price. We more than doubled free cash flows to $756 million, reduced net debt by 19% while continuing to invest in growth, and paid $52 million in dividends and delivered first quartile total shareholder returns versus our competitors. Our sustainability performance also influences our ability to create value. Turning to slide five, in 2015, Newmont's sustainability performance was rated best in the mining industry by the Dow Jones Sustainability Index. We also ranked first in the areas of climate strategy and environmental management, labor practices and human rights, and corporate citizenship. While it's hard to put a dollar value on sustainability, it's clear that superior performance is a prerequisite for managing long-term costs and risks and maintaining the social acceptance we need to operate. The most important way we measure sustainability is by how well we look after our people. Our goal is to send everyone home safely every day. We're making progress by continually lowering injury rates, and we achieved more than 400 days of zero harm at a team, but this performance was overshadowed by the loss of two colleagues in 2015. Our work to improve safety and productivity will never end. Turning to operational performance on slide six, in 2015, we lowered our gold all-in sustaining costs for the fourth year in a row, ending below $900 per ounce. This represents a reduction of 24% over the last three years. Our Full Potential Program has been a central force in improving our performance and our competitive position since it was launched in late 2012. To date, we've delivered more than $1 billion in improvements against the 2012 baseline and consistently exceeded our targets. We've launched the second phase of this program at about half our operations with the remainder scheduled in 2016. Better technical practices are also driving improved reliability. We can't control metal prices, but we have been able to narrow the gap between estimated and actual tonnages and grades, metallurgical recoveries, cost and productivity through more predictable orebody modeling. Finally, we benefited from favorable oil prices and exchange rates in 2015, which accounted for about 60% of our overall cost improvements. Turning to portfolio improvements on slide seven, our goal is to build a portfolio of long life, low-cost assets with technical and sociopolitical risk we are well-equipped to manage. We have optimized our portfolio over the last three years, and you can see the results of our efforts on this slide. Comparing what we divested to what we reinvested in, we're able to increase mine life by about 2/3, lower cost by nearly 20% and lower technical and social risk. I'll take a minute now to walk you through what we're doing to manage risk and make the most of our opportunities in each of our regions. Turning to slide eight, in North America, the Turf Vent Shaft was completed in November and is now delivering better air circulation and design capacity. Ventilation is so good, in fact, that people are wearing coats in the Leeville underground mine. The team has fine-tuned ground control plans at Leeville and is currently evaluating alternative mining methods. Production and costs were negatively impacted by geotechnical challenges in the fourth quarter, and we expect that trend to reverse in the second half of 2016. We started mining at Long Canyon and remain on track to begin production in the first half of 2017. Finally, we're making good headway with the Cripple Creek & Victor expansion. Leach pad construction is slightly ahead of schedule with first production expected in the second quarter. Mill availability has also improved, following a scheduled shutdown in December and further improvements are expected in the first half of 2016. Turning to South America, in Suriname, Merian is about 2/3 complete, and I'll talk more about that later. In Peru, we're studying a phased approach to developing Yanacocha's remaining oxide and sulfide deposits, and we'll have more to tell you in the second half of the year. I also want to touch on the reclassification of Conga reserves to resources. This was triggered by certain operating and construction permits expiring at the end of 2015 and uncertain prospects for future development and permitting. We do not anticipate development of Conga for the foreseeable future. In Africa, we have secured a new investment agreement and built permanent energy capacity in Ghana, both of which create the stability necessary for long-term investment. Moving on to Asia Pacific, the Tanami expansion project is on track, with the second decline well underway and mill expansion construction beginning in mid-2016. Additional production is expected to come online in 2017. In Indonesia, we received our export permit about two months late, and the delay affected our sales revenue in the fourth quarter. I also want to address speculation about the potential sale of Batu Hijau. Newmont, with our partner, Sumitomo, are in discussions with certain parties who have expressed serious interest. But to date, none has secured fully committed financing or final deal terms. In the meantime, we remain focused on operating Batu Hijau safely and efficiently. Before I hand over to Laurie, I want to take a moment to acknowledge and thank Chris Robison, our Chief Operating Officer, for playing a leading role in creating safer and more efficient operations and a stronger portfolio and project pipeline over the past three years. As Chris retires on May 1, we have an exceptional leader in Tom Palmer taking his place. I've known Tom for more than 15 years. He has a long track record of improving operational performance as he did over the past two years at our Asia Pacific business and we share a strong commitment to safety and productivity and to building the next generation of profitable new mines. With that, I'll hand it over to Laurie to cover our financial results.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Thanks, Gary, and thanks, everyone, for joining us today. 2015 was a strong year for Newmont, both operationally and financially. Let's turn to slide 10 to review the financial highlights. For the full year, gold costs applicable to sales and gold all-in sustaining costs were both down 10% compared to 2014 and finished below the midpoint of our guidance. Likewise, gold production was up 4% and above the midpoint of our guidance. For the fourth quarter, gold production was strong and roughly in line with the prior-year quarter. As expected, costs were higher than the previous three quarters. Gold CAS and all-in sustaining costs per ounce were both 8% unfavorable to the prior-year quarter due primarily to lower mill grades at Yanacocha and Ahafo. Consistent with our guidance, CAS is expected to improve by the second half of 2016 as we ramp up production at CC&V and Merian reaches commercial production. Now turning to slide 11, we delivered over $750 million of consolidated free cash flow in 2015 and generated a 49% improvement in cash from continuing operations despite the 9% drop in the gold price. Our adjusted net income for the year was $507 million or $0.98 per share. And I'm pleased to report that adjusted EBITDA for 2015 was up 29% from the prior year, benefiting from strong copper and gold sales volumes and lower costs applicable to sales. Turning to the fourth quarter results, adjusted EBITDA of $466 million was strong but lower than the prior-year quarter due to lower metal pricing. We continue to fund dividends from free cash flow and existing cash balances. Last week, our board approved a quarterly dividend of $0.025 per share in line with our gold price-linked dividend guidelines. Turning to slide 12, let's walk through our net income adjustments. The primary adjustments to our quarterly GAAP net income include a $0.25 tax adjustment, the majority of this relates to tax restructuring and acquisitions and divestitures; an $0.18 non-cash reclamation charge at one of Newmont's legacy sites, this accrual adjustment is for liabilities that will be spent over many years into the future; a $0.03 one-time payment related to prior-period royalties from the revised Ghana investment agreement; and a $0.06 impairment of other long-lived assets and marketable securities. After adjusting for these items, we reported net income of $20 million or $0.04 per share. EBITDA was also impacted by the non-cash reclamation charge, the revised Ghana investment agreement and asset impairment, in other words, the same items except for taxes, resulting in adjusted EBITDA of $466 million for the quarter. Now, turning to our capital priorities on slide 13, we delivered a step change in financial flexibility and maintained our investment grade balance sheet despite lower metal pricing through a disciplined approach to project development and capital allocation. In 2015, we generated about $2.2 billion in operating cash flow. After sustaining capital, cash from core operations totaled $1.4 billion. At the end of the year, we also had $2.8 billion of cash on our balance sheet, a 16% improvement from 2014. This includes 2015 net cash from divestitures of about $200 million. Our strong cash flow and total liquidity position of over $6 billion supports our capital priorities of funding profitable projects, reducing debt and returning cash to shareholders. As you can see during the year, we spent $655 million on development capital, repaid $454 million of debt, and paid $52 million in dividends. Free cash flow was negative for the fourth quarter, primarily due to timing of development capital spend for Merian and Long Canyon. We had positive cash from core operations of $27 million in the quarter, which didn't cover our Q4 development capital of just over $200 million. It's worth pointing out again that we continue to expect positive free cash flow on an annual basis, but we may not see it every quarter due to timing of development capital expenditures for our growth projects. As I noted earlier, our cash flow from core operations more than covered development capital, debt paydown, and dividends for the year. We're very pleased with the progress we've made in strengthening our balance sheet during 2015, including $120 million of debt repayment in Q4. In light of our strong 2015 financial and operating performance and the current gold price environment, we will evaluate options to further reduce gross debt over the coming months. Slide 14 demonstrates that our discipline has transformed our balance sheet into one of the healthiest in the sector. Our net debt to EBITDA ratio of roughly 1.3 times is among the lowest in the industry, and our strong cash flow and balance sheet continue to differentiate Newmont from the competition. We have reduced our net debt by 19% since 2014 and continue to target a net debt to EBITDA ratio of 1 time at $1,200 gold. This metric may turn higher at lower pricing, but over time, these levels allow us to maintain investment grade metrics across cycles. We work with the rating agencies and talk to them frequently to ensure they understand our strategy and results. S&P removed the negative outlook on our BBB rating in June. They also revised their liquidity assessment from strong to exceptional. Moody's recently placed Newmont and many other metals and mining companies on review. They did this across the board primarily because of their outlook for commodities pricing and their desire to do a review against that pricing deck. In general, the agencies have been very positive about the operating and financial improvements at Newmont. And with that, I'll hand it back to Gary.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you, Laurie. Let's shift gears to the future starting on slide 16. Our goal is to continue improving our performance in prospects by delivering safe and profitable production, adding higher-margin ounces and advancing our best projects, generating the strong returns we need to invest in growth, reduce debt, and fund dividends and maintaining leading sustainability in governance practices. Turning to our outlook on slide 17, our outlook has not changed with the exception of the improvement in forecast capital spend at Merian, which I mentioned earlier. We expect to sustain the savings we've achieved to date through efficient operations, optimized projects and value-accretive transactions, and to maintain gold all-in sustaining costs below $1,000 per ounce through 2020. Over the next two years, costs are expected to benefit from higher-margin ounces at Merian, Cripple Creek & Victor, Tanami, and Long Canyon, higher grade ore at Batu Hijau and Carlin underground mines and ongoing productivity, cost and capital improvements. Potential upside includes Full Potential savings and lower cost ounces from projects that have not yet been approved. Turning to production on slide 18, we expect steady gold production of between 4.8 million ounces and 5.3 million ounces in 2016. Production is then forecast to rise in 2017 as new projects come online. After that, we expect profitable production of at least 4.5 million ounces to 5 million ounces through 2020. In the near-term, higher-margin ounces from Merian are expected to offset declining volumes at Yanacocha in South America. Similarly, in North America, lower cost production from Cripple Creek & Victor, Long Canyon and Carlin underground mines is forecast to offset stripping phases at Carlin surface mines and Twin Creeks. Development of Northwest Exodus represents further upside. The team in Ghana is optimizing projects to address harder ore and lower grades in Ahafo surface mines and to develop the highly prospective Subika underground resource. Finally, Asia Pacific will leverage the Tanami expansion to counter lower grades and the higher stripping at Boddington. Turning to capital on slide 19, our outlook calls for stable and disciplined sustaining capital expenditures over the near-term to cover infrastructure, equipment and ongoing mine development. Sustaining capital is expected to rise slightly in 2017 to cover equipment rebuilds, water treatment and tailing storage facilities. Longer-term, we expect to hold sustaining capitals between $700 million and $800 million per year. Development capital in 2016 and 2017 will support our current projects, including Merian, Long Canyon and expansions at Cripple Creek & Victor and Tanami. These figures may change as we consider our next profitable growth opportunities. Turning to our project pipeline on slide 20, projects in the execution phase are progressing on schedule and at or below budget. To recap, Long Canyon is more than 45% complete when we began mining in January. The Cripple Creek & Victor expansion is on track, and the team is evaluating promising options for concentrate processing. Merian was 66% complete at the end of January, and we expect to reach commercial production in the second half of this year. And the second decline at Tanami is nearing completion, and we will begin mill expansion construction in the coming months. Turning to projects that will be up for funding review in 2016, the Ahafo mill expansion is designed to leverage existing infrastructure to build capacity and improve cost. The expansion is expected to offset lower grade ore and accelerate profitable production of stockpiles. Developing the Subika underground mine would deliver higher grade ore to Ahafo mill and create a platform to explore the region's highly prospective underground resource. We expect to reach decisions on both the Ahafo mill expansion and Subika underground mine in the second half of 2016. Finally, the next cutback at Batu Hijau Phase 7 represents good returns, but requires significant investment. We will not move forward with Phase 7 until we've secured an amended contract of work and project financing. Turning to our reserves on slide 21, we added 5 million ounces to our gold reserves by the drill bit in 2015 and 4 million ounces by acquiring Cripple Creek & Victor. Additions included higher grade ounces at key underground mines, including 1 million ounces at Carlin and 800,000 ounces at Tanami, more than doubling reserves at the Subika underground mine with the addition of 800,000 ounces, and extending the life of KCGM by adding 1.1 million equity ounces, and at Yanacocha by converting 700,000 ounces at [Catcher Main]. These additions helped offset depletion of 6.5 million ounces, divestment of 800,000 ounces, which included Waihi, price-related changes of 3 million ounces largely due to moving an economically marginal layback at a team which is not included in the current mining plan to resources, and net negative revisions of 700,000 ounces, primarily at Ahafo and Ahafo North. The strength of our gold reserves is reflected in slightly higher average year end gold grades of 1.06 grams per ton and reduced sensitivity to lower gold prices. We lowered our reserve price to $1,200 per ounce at the end of 2015. Operational and portfolio improvements, combined with favorable exchange rates, have reduced the downside sensitivity of a further $100 decrease in gold price to less than half of what it was last year. Turning to slide 22, in the near-term, we expect a relatively strong U.S. dollar and subdued global economic growth to constrain prices. In the medium-term, supply is expected to decrease due to aging ore bodies, slower project development, and fewer new discoveries. These factors, combined with rising demand from emerging market consumers, support a positive outlook for gold prices in the years to come. In the meantime, we're preparing for all scenarios. Turning to slide 23, our planning process builds from a gold price of $900 per ounce, which informs our contingency plans. At today's metal prices, we can afford to advance our best projects and exploration prospects, reduce debt and maintain our dividend. At lower prices, we'd expect to finish existing projects, potentially delay new projects, stripping campaigns and sustaining capital, and further reduce overhead and exploration costs. If gold prices improve, we'll continue to optimize costs and capital, fund projects and exploration prospects that offer strong returns, accelerate debt reduction, and increase dividends in line with our policy. Summing it all up on slide 24, we're proud of what we've accomplished in 2015, but our sights are set on raising our performance to the next level. This means moving from one of the safest companies in the mining sector to one of the safest among all industries, taking our asset portfolio from good to great, building a strong and diverse talent pipeline, and maintaining leading social, environmental, and governance practices, and generating the financial flexibility we need to fund our best projects, reduce debt, and return cash to shareholders. Thank you for your time. I'd like to now turn the call back over to the operator to open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from Mr. Andrew Quail of Goldman Sachs. Sir, your line is now open.
Andrew C. Quail - Goldman Sachs & Co.: Morning, Gary, Laurie, and Tony. Thanks for taking my questions. The first one is pretty easy. Can you guys just confirm what you actually spent at Merian in the quarter?
Gary J. Goldberg - President, Chief Executive Officer & Director: What our actual capital spend was for the fourth quarter at Merian?
Andrew C. Quail - Goldman Sachs & Co.: Yes.
Gary J. Goldberg - President, Chief Executive Officer & Director: I'm going to have to look that up here real quick because I don't have it at my fingertips. But we'll come back to that and look it up.
Andrew C. Quail - Goldman Sachs & Co.: Okay. Next one is just on Yanacocha. Could you just, I suppose, comment on what you expect, not on a tonnage perspective, but more so on a grade perspective going forward, especially in 2016, not on production, but just on grade?
Gary J. Goldberg - President, Chief Executive Officer & Director: Okay. Just to answer your first question, on 100% basis, we're about $102 million at Merian. And I'm going to ask Chris Robison to cover where we stand at Yanacocha grade-wise in 2016 versus prior years. What do we expect grade-wise?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes. Andrew, as you know, the grade was expected to drop, and so, our expectation, as you can see, the ounces in 2016 were down in the 500,000-ounce range for 2016. And in the foreseeable future, there's – it's roughly half of where we had been two years ago to three years ago and then as we stepped down in 2015.
Andrew C. Quail - Goldman Sachs & Co.: Do you think it's something between a fourth quarter and a third quarter growth, or is this some sort of – do you think it's going to be consistent with fourth quarter, or is it going to be sort of more between third quarter and fourth quarter?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: No, I think – Andrew, I think it's pretty consistent with fourth quarter as grade has ramped down. So, I think pretty consistent through the year. We'll certainly be consistent through the year, and it's similar to fourth quarter.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: And, Chris, I would think you'd say that our guidance that we've given from a cost basis for 2016 is based on the analysis of the grade, and it's going to be – we're still going to deliver that which is...
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes. Oh, absolutely.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: ...a bit better – lower than the fourth quarter cost.
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes. And they've done a great job in focusing on cost with the declining grade and reducing head count and other significant costs.
Andrew C. Quail - Goldman Sachs & Co.: That's great. And I swear it's my last question, back to Merian, obviously, it's 66% complete. What – do you think – it's great you gave a downward revision to CapEx. Do you think that – do you foresee any more downgrades to CapEx given the project is sort of almost there?
Gary J. Goldberg - President, Chief Executive Officer & Director: I think what we'll be doing, Andrew, is as we get it closer to commercial production, we'll assess where that stands. I think right now we were comfortable making this next reduction. I think the team has done a great job of delivering. Chris was just down there a couple of weeks ago, I was down in December, and just impressed with how the whole project is coming along. But I think we'd hold off to probably midyear or third quarter as we get into commercial production to reassess capital.
Andrew C. Quail - Goldman Sachs & Co.: All right. Thanks very much, guys.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. Our next question comes from the line of Mr. John Bridges of JPMorgan. Sir, your line is now open.
John D. Bridges - JPMorgan Securities LLC: Morning, Gary, Laurie, everybody. I just wondered on the costs, all-in sustaining costs, you're using GAAP to do your numbers. If you were able to use IFRS, would you all reported all-in sustaining costs be lower? What are the issues between the two systems?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: I would say that over time, there wouldn't be any difference. On a quarter-to-quarter basis, there could be some differences as under one, you might capitalize, on another you might expense, but it actually does a lot to equalize things across the two methodologies.
John D. Bridges - JPMorgan Securities LLC: Okay. Are you doing a lot of stripping at the moment? Are you stripping more than normal or about average?
Gary J. Goldberg - President, Chief Executive Officer & Director: I wouldn't say – I mean, in Carlin and Twin, we'll have some stripping campaigns over the next couple of years, Carlin currently in one and Twin will come back into one. So those would be the two areas that I'd see any – I wouldn't call it abnormal. It's just a normal part of their mining cycle. Of course, Batu Hijau if we were to get into Phase 7 would be into one of those as well down the road a couple of years.
John D. Bridges - JPMorgan Securities LLC: Okay. Okay, fine. And then maybe as a follow-on, Yanacocha, you mentioned the sulfides project. I know you're still working on it, but I just wondered if you have more detail there, idea as to what the better options were they?
Gary J. Goldberg - President, Chief Executive Officer & Director: Not at this stage, John. I think we're still sticking to our schedule of reviewing that with the team in June and have more to talk about it in July.
John D. Bridges - JPMorgan Securities LLC: Okay. We look forward to that. Thanks, Gary, and best of luck.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, John.
Operator: Thank you. Our next question comes from the line of Mr. Stephen Walker of RBC Capital Markets. Sir, your line is now open.
Stephen D. Walker - RBC Dominion Securities, Inc.: Thank you. Good morning, everybody. Just two questions on strategy. First of all, in 2017, obviously there's likely going to be more development capital allocated than is shown on slide 19. But when you look at capital allocation decisions vis-à-vis organic projects in the feasibility or the pre-feasibility stage versus acquisitions, could you talk a little bit about – and, again, CC&V is a good example of an acquisition that's strategically fit; talk about the balance between acquisition strategies and organic growth, particularly as you go from 2017 into 2018 where production on paper and without the new projects kicking in, stepping down significantly in 2018 from 2017.
Gary J. Goldberg - President, Chief Executive Officer & Director: True, Stephen, I think, first of all, step back. Our core focus is on making sure our operations, the business delivers value. So we're not out for a target of a certain number of ounces per se. It's what's going to deliver the best return to shareholders. So that's why you've heard us say we've announced certain projects, talk about return on capital. That's a big focus. And clearly, we understand our internal projects the best generally. So that's a key focus that we look at. But we do take a look at what's available out there around the rest of the world in terms of opportunities. We weight all of our operations, our internal projects and external opportunities on the same value and risk scale where we look at value, NPV, return on capital, mine life and position on the cost curve. We look at risks from a technical and a geopolitical and social risk aspect and really make all the decisions based on that in terms of how we then allocate capital. We're targeting roughly 20% to 25% of our free cash flow today to be paid back in dividends. We're working towards a position of getting our net debt to EBITDA, targeting, as Laurie said, a 1 time ratio at a $1,200 gold price and investing in the business along the way. And as you point out, we're making quite a bit of investment. You see that in our free cash flow in the fourth quarter of 2015, and we'll see that in the first half. Primarily, it's front-end loaded in 2016. But that kind of gives you a little overview of where our focus is really driven and what's the best value to shareholders is the main driver.
Stephen D. Walker - RBC Dominion Securities, Inc.: Great. Thanks for that, Gary. Just again as a separate question on strategy, we've talked in the past about synergies or potential synergies between operations in Nevada, and certainly in 2014 there was discussion at that time of a combination with Barrick, which could considerably generate a lot of synergies, particularly in Nevada. Do you see opportunities in Nevada where you could partner with somebody and achieve synergies, whether it's at Turquoise Ridge or elsewhere the metallurgical operations in Carlin?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yes. I think clearly we're focused on running our operations. Just we're joint venture partners with certain parties in Australia where we're managing the KCGM operation now. We're partners at Turquoise Ridge, and we continue to work to look at what the next development opportunities are. All the ore at Turquoise Ridge is processed at our Twin Creeks operation today. And looking at ways to be able to expand that relationship and develop the best value for our shareholders in that process is one of our focuses. So, I wouldn't look away from them, but right now, those would be the areas that we're focused on.
Stephen D. Walker - RBC Dominion Securities, Inc.: Great. Thank you very much, Gary.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Stephen.
Operator: Thank you. Our next question comes from the line of Jorge Beristain with Deutsche Bank. Sir, your line is now open.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Thank you. Good morning, Gary and everybody. I guess, my first question, Gary, just again on strategy, maybe you could just talk a little bit about the fact that your U.S. copper operations are basically below breakeven on an all-in sustaining cost basis relative to the current copper price, and if there would be any plans to brown down production there in response to low copper prices? That's my first question.
Gary J. Goldberg - President, Chief Executive Officer & Director: Yes, I think, there's two parts and that's the Phoenix operation in the U.S. that's producing copper. You've got the copper that comes with the gold in concentrate and you also have the copper that comes from the SX/EW. And we do have probably more flexibility around SX/EW if we were to see a significant decline in copper prices where it wasn't making money on a cash basis. But at this stage, we don't have any plans to make a change. But that would be the one we'd have probably the most flexibility initially to make a change on.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: So, when you define running them for cash, you define that as C1. You're not thinking AISC cash as being the breakeven?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yes. If we get down to it, we'd be looking at C1. But we'd continue to assess that as we go forward.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: And as Gary said, part of that is in with the concentrate and so, you really have to look at the combined copper-gold because there is an allocation of cost which can be somewhat academic and isn't always guaranteed to be 100% accurate. You're really looking at the combined product and what margin you get out of that.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Understood. And then, just that leads into sort of my second strategic question, when you guys think about potentially selling assets in certain parts of the world and reinvesting, where does copper rank relative to gold? Are you kind of metals agnostic or are you leaning more towards increasing your gold projects going forward?
Gary J. Goldberg - President, Chief Executive Officer & Director: We're very confident at operating gold operations around the world. We do have the three copper-gold deposits that we operate today, but our focus would be on gold primarily. But if there was something of value that was gold with some copper with it, we'd consider it, but our focus is really on gold, Jorge.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Thank you. And sorry, if I could just get a last one in for Laurie, specifically, Laurie, if we could just get a better baseline and maybe just an explanation as to what continues to happen with the other expense category. I can understand a lot of that is non-cash. But just looking at your year ahead guidance, it seems to imply about a $250 million midpoint for SG&A, including – I'm assuming that category includes others given that your actual SG&A runs at about $180 million. So, I'm assuming – is it correct to think you're using about a $70 million assumption annually for others?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Well, the other thing is we talked about this at Investor Day that we have moved our regional G&A into G&A and out of other, so you're going to see some changes in that going forward. And we can give you a lot of detail, if you'd like, offline. The other is a fairly complex area, and a lot of it is non-cash, as you mentioned. But it should be coming down as we make some of these changes that will provide a little bit more transparency.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Yes. That would be great to get some more color there just because, recurrently, it seems to be an area of negative surprise, and on cash basis, I mean, this does work out to be somewhere upwards of about $40 an ounce, give or take, annually. It would seem like some fairly low-lying fruit if you guys could get a better handle on controlling those recurrent others. So, I just wanted to flag that. Thanks.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yes. And we definitely take a look at it, and we'll get back to you with some more detail, Jorge.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Jorge.
Operator: Thank you. Our next question comes from the line of Andrew Kaip of BMO. Your line is now open.
Andrew Kaip - BMO Capital Markets (Canada): Good morning, Gary and Laurie.
Gary J. Goldberg - President, Chief Executive Officer & Director: Good morning.
Andrew Kaip - BMO Capital Markets (Canada): Good morning. The first question I have, Gary, is just for you. Thanks for providing some clarity on Batu Hijau and the fact that you have parties that are interested. I'm wondering if you're in a position to just comment on the quality of those groups that are interested. Do you see them as viable groups that are just assembling up the capital to be able to make an offer, or is it – can you comment on that?
Gary J. Goldberg - President, Chief Executive Officer & Director: I am going to ask Randy to give a comment.
Randall E. Engel - Executive Vice President-Strategic Development: Andrew.
Andrew Kaip - BMO Capital Markets (Canada): Hi.
Randall E. Engel - Executive Vice President-Strategic Development: Yes. The viability is certainly high enough that we felt appropriate to mention, and they're serious parties like we mentioned at Investor Day. We've really only engaged in parties that we felt were viable. Financing in this market has been challenging, but I think that's the case across the sector. So we certainly view them as very real parties.
Andrew Kaip - BMO Capital Markets (Canada): Are you looking at more than one group that is interested? Or is it just one particular group that is entertaining it?
Randall E. Engel - Executive Vice President-Strategic Development: I think we've looked and talked to a number of groups. We've got some serious interested parties right now that we're focused on our discussions with.
Andrew Kaip - BMO Capital Markets (Canada): All right. Thanks very much. And then, the second question, Laurie, congratulations on further debt reduction. I'm just wondering and you made comments about potential further debt reduction or gross debt reductions early this year or into 2016. Can you comment on your strategy now? Still a very healthy cash position in Newmont, and I understand the need for it is clear as you're constructing projects. But at some point in time, those cash requirements are going to abate, and I'm wondering what your strategy there is?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Sure. Thank you, Andrew. And, yes, I think the whole team deserves a lot of credit for this debt paydown. We don't do it in finance. But we definitely have some project-level debt at PTNNT that we expect to be paying down throughout the year. And then we've also considered the concept of doing a tender on some of our outstanding corporate debt. We do have the cash, as I said, in December. We're monitoring the gold price and want to make sure that we don't take undue risk. But as you point out, where we're at right now, both financially and where we are within our projects, that definitely could be something on the horizon. We just have to make sure that the timing fits with all the other things. And as you know, we get into the blackout windows and everything around our quarters. So, our timing to be able to do those things can sometimes be limited. But we definitely, obviously, have the capability, and we'll be studying that quite a bit going forward.
Andrew Kaip - BMO Capital Markets (Canada): All right. Thank you very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Andrew.
Operator: Thank you. Our next question comes from the line of David Haughton of Imperial Bank of Commerce. Sir, your line is now open.
David Haughton - CIBC World Markets, Inc.: Good morning, Gary, Laurie, Chris, and Randy. Got some questions on the CapEx. Firstly, looking at Merian, you've put guidance there for 2016 of $170 million to $210 million. Is that on 100% basis, or is that your 75% share?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: That's 100%.
David Haughton - CIBC World Markets, Inc.: Excellent. And during the presentation, Gary spoke to some $50 million worth of savings. What kind of savings were generated? Is it as a consequence of currency or energy or some other element that you'd want to talk about?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes, David, I think, it comes – obviously, it's exchange rate and fuel price plays a big role there. But also, from my recent visit there, mining has some very unique approaches in terms of logistics which you can imagine is pretty interesting, getting gear into the Amazon Jungle, where we have saved costs, and even in assembling gear there, where a lot of equipment is obviously fabricated, but then assembled in Europe, in the U.S. or Canada, and then transported in and basically just bolted together. And so, as we do more of that, that's probably after FX and fuel price, biggest savings is less labor cost and less high-tech labor at site.
David Haughton - CIBC World Markets, Inc.: Okay. And I know that Andrew Quail had asked – was heading in a similar kind of direction. Your sustaining CapEx is about $100 per ounce. Can you see any of those kind of experiences moving over to your ongoing CapEx, or is it really quite specific about the build capital?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: I think it's more specific. I think a big sustaining project, something where there was a lot of gear, I think we've learned a lot from that. But we would certainly take these ideas to other big projects in the future. Some great experience there and knowledge we've gained.
David Haughton - CIBC World Markets, Inc.: Okay. So, it's transferrable, say, to what might happen in Ghana, for instance, if you push the button for the expansions?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Absolutely, yes. And in .
David Haughton - CIBC World Markets, Inc.: Yes. Just going over to Long Canyon the CapEx remaining is around about $250 million to $300 million. Is that up from what your previous expectations were?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: No, it's pretty well in line with expectations. We're assuming a bit lower spend there again mainly due to fuel costs, but should be pretty line-balled of what we had previously forecast.
Gary J. Goldberg - President, Chief Executive Officer & Director: Yes, our $250 million to $300 million is full project spend from the beginning. So that hasn't changed at this stage.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Only about half of that in 2016.
Gary J. Goldberg - President, Chief Executive Officer & Director: Yes.
David Haughton - CIBC World Markets, Inc.: Okay, all right. Well, thank you very much and, Chris, enjoy your retirement.
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Thank you.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, David.
Operator: Thank you. Our next question comes from the line of Tanya Jakusconek with Scotiabank. Your line is now open.
Tanya Jakusconek - Scotia Capital Inc.: Thanks. Good morning, everybody.
Gary J. Goldberg - President, Chief Executive Officer & Director: Good morning.
Tanya Jakusconek - Scotia Capital Inc.: I have two questions, one is technical and one is financial. Maybe just on the technical side, can we talk a little bit about the geotechnical issues that you were experiencing at Leeville, exactly what's happening there? I understand there's more ground support that's going in, but what are you seeing underground that's different from what originally you were expecting and how do we see this cost improving through the year? So maybe that's my first question.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Tanya. I'm going to have Chris handle that one.
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes, Tanya, I think a couple of pieces to this. One, it's one particular area in Leeville, so it's not an impact across the whole Leeville/Turf complex. It's one area where due to the faulting, while we had an expectation there of poor ground conditions, our current mining approach, the long hole stoping leads to more geotech issues. So, one of the things that we're looking at is a cut-and-fill approach in this particular area of the mine. That would lead to more selective mining, so higher grade, higher cost that may offset one another as you'd be mining less tons, higher cost but higher grades. So, we see the impact of this through – because of this area, it's an isolated area in the mine, the impact this year, but certainly not longer-term.
Tanya Jakusconek - Scotia Capital Inc.: So is it safe to say that we're just in the sort of faulted area for the first half, and then once you come out of it, we're back to long hole stoping?
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes. Yes. And we would be long hole stoping elsewhere in the operations. Just this one area, we would go to this modified mining approach.
Tanya Jakusconek - Scotia Capital Inc.: Okay. Okay. Perfect. And then, Laurie, a question for you, and I appreciate you mentioned your target for net debt to EBITDA at 1 time at $1,200 gold price. Is it safe to assume that, we've got obviously the Merian CapEx that's coming through in the first half of the year, you have to make a decision on Ahafo, Subika in the second half of the year. Do we look at it that any excess cash flow above that spend that assumes you've made the decision to go ahead on Ahafo and Subika, still keeping a minimum cash balance of $2 billion on the balance sheet, anything above and beyond that would go to paying down the debt?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Well, I think we would certainly evaluate a variety of different things, other options that we might have, what does the gold price look like at that point in time. Theoretically, you're probably not far off about what we do, but there would definitely be timing and other things that would come into play before we would move on that. But I definitely see the ability for us to pay down some incremental debt this year.
Tanya Jakusconek - Scotia Capital Inc.: Okay. Okay. Thank you very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. Our last question comes from the line of Garrett Nelson of BB&T Capital Markets. Your line is now open.
Garrett Scott Nelson - BB&T Capital Markets: Hi. Thank you. I think you mentioned lower ore grades at Yanacocha and Ahafo as the primary drivers of the year-over-year increase in your total cost per ounce. But it looks like your North American cost – CAS, were up about 9% and was driven by Carlin. Remind us why your cost is so much higher at Carlin? And looking at 2016, are you expecting your cost per ounce in that region to come down as the year progresses and as production ramps at Turf Vent Shaft and so forth?
Gary J. Goldberg - President, Chief Executive Officer & Director: I think, overall – I mean, first of all, our cost came down year-on-year and just to remind folks, especially all-in sustaining and we have had the moves around Yanacocha as we get closer towards the end of the existing mine life. We have expected those costs to come up as production comes down. Carlin was a factor of some of the items that Chris mentioned as we're dealing with some of the geotechnical issues plus came to the end of some stripping and some grade-related issues. Our guidance still that we provided in early December in terms of where we expect our cost to be for 2016 hasn't changed from what we provided and still remains the same.
Christopher J. Robison - Chief Operating Officer & Executive Vice President: And the Paceville project at Carlin would have impacted cost.
Gary J. Goldberg - President, Chief Executive Officer & Director: That would have affected sustaining capital in the fourth quarter spend, yes.
Christopher J. Robison - Chief Operating Officer & Executive Vice President: Yes.
Garrett Scott Nelson - BB&T Capital Markets: Okay. And then your leverage ratios have obviously come down a lot over the last several quarters. Remind us whether you have a target leverage ratio. And if so, what is your target?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yes. What we've said, Garrett, is that we'd like to be at 1 times debt to EBITDA when gold price is $1,200. Obviously, the EBITDA moves around a bit as the gold price moves around a bit. But if we think about it that way, we're confident that we can maintain investment grade metrics as the gold price moves in through the cycles.
Garrett Scott Nelson - BB&T Capital Markets: All right, great. Thanks very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Garrett.
Operator: Thank you. I would now like to hand the call back to Gary Goldberg for any final remarks.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, operator, and thanks, everyone, for joining today. I'm pleased with the changes we've made over the past few years that have positioned Newmont to be the world's leading gold business. We'll continue to focus on our strategy to deliver long-term value by improving our underlying business from safety to productivity to costs, strengthening our portfolio, and creating value by funding our highest-margin projects, reducing debt, and paying steady dividends. Thanks, again, for joining us and have a safe day.
Operator: Thank you. And that concludes today's conference. Thank you, all, for participating. You may now disconnect.